Gregory Wilkins: Thanks, Jim.  Good morning everyone.  Thank you all for joining us this morning.  As Jim said, we put out our year end Press Release and reported on the fourth quarter the guidance on where we’re at for 2006 as we currently see it, and progress in a variety of funds.  I’m sure you’ve had a chance to read all 93 pages and have detailed questions, but perhaps we can shed some light on it and you know obviously we stand ready to ask questions as you absorb this material. Fourth quarter you know is a great quarter for us.  It turned out exactly as we anticipated it.  We earned $175 million of 32¢ a share and when we looked at it on before special items basis, our earnings actually fore folded over the same quarter in 2004. Operating cash flow was also much stronger up very significantly.  And that’s in spite of the fact that we’ve actually used a lot of working capital and inventories as we’ve built up some of the new lines, in fact, we had some gold from Valedero that was in bar form at the end of the quarter, which will be moving into sales in 2006.  So cash flow could have been higher had we got that sale done but still the numbers were very impressive and it showed a continuing quarter over quarter trend and those we’ve shared with you in the past and you know our goal really has been to try and drive continuing growth and financial performance in sales which you’ll see in a moment.  We’ve had some pretty good success on that front. For the full year, the highlights, we came in at 5.6 million ounces of gold, the net cost of $227 an ounce and I’m pleased that we came in within our guidance in both production and costs and in spite of the fact that the industry was definitely under pressure from a cost standpoint through 2005, with energy prices and consumables and labor all with upward momentum, so the fact that we were able to hold the course, I think is something we’re very pleased with.  You know, we are and remain the lowest cost producer, our cost structure does change a little bit you know with the amalgamation of the Processor Act, that’s at our assets, but still remain very attractive and still gives us the opportunity for significant earnings and cash for our performance. On the reserve front, we virtually replaced reserves.  We rounded up.  We ended up actually replacing reserves but we did come in at 88.6 million ounces.  I think it’s important to just note that there are some very high standards that need to be met when you do your calculations of reserves and resources and we try to be leaders in making those calculations you know very appropriate and reliable and so some of the exploration work and Alex can comment a little later, some of the exploration work actually didn’t show up in many of these numbers, for example in Daget and South Venturo, between the two of them I think it added $158 an ounce as to resources and yet the potential for both of those is quite significant and at Goldstrike as well you know we’ve been doing some exploration work along the Post Falke and we got some delays in access, but the drawing was very positive albeit limited therefore it didn’t come into adjust reserves in year end. With respect to the Placer situation, we were very pleased to have been able to negotiate a friendly transaction back in December and January 19th, we picked up 81%, we extended the bid and now have 94% so we were able to take advantage of the compulsory acquisition rules that are available to us here in Canada and so we will be moving to the completion of the transaction which should be no later than March of this year, the end of the first quarter and may in fact be just a little earlier than that.  So that’s moving along well.  That will enable us to complete the sale of the assets to Gold Corp as we previously announced and so that moves along well, so basically, we’re very pleased with what we’ve got going and what we were able to do in 2005. And I would note too, that I think it’s important then to just really realize that we were able to maintain operating performance while we were also focused on this acquisition and I think there was some concern expressed to me in the various meetings you know that we may you know lose sight of the dropped the ball a little in our own operations but we were able to avoid that and management structure in the company has enabled us to continue to be focused on our operations even throughout this integration process with Placer and so that we continue to be very confident in being able to perform on our own portfolio of assets while we go through the integration. Moving on when you look at the highlights on a quarter over quarter basis, of course, the earnings for the year exceed $400 million, 75¢ a share; cash flow at $726 million or $1.35 a share.  Again, cash flow here you know is in fact the same growth and working capital inventories and therefore on a steady run rate basis when in fact would be higher.  But those increases are substantial.  62% over 2004, 33% cash flow over 2004 and this was, we actually were able to realize $439 an ounce for all the gold we sold versus the spot average over the year of $444.  So we’re only $5 an ounce below the market that did drop down during that period, 1 million ounces in our hedge position.  And so I think you know just some good execution and the timing, good execution on growth that did go into the market enabled us to bring down 1 million ounces of hedge book and really not be far off of what the average gold price was for the year. The other thing that’s been fighting the industry and has been some disappointment to investors is the lack of growth in margins.  And this year, we finally broke through that through that dilemma.  If we look back, trending backwards from 2001 through 2004 our margin growth and this I think reflects the industry situation, was about 14% spread over three years, less than 5% a year.  Our cash margin growth from 2004 through 2005 varies some 25%.  So we’re starting to see now that in these dull price environments there is a leverage coming into the financial performance although I think people have been looking for and expecting. 2005 was also a year that you know I think we delivered on expectations.  It seems like a long time ago now that we opened Lagunas Norte but we opened three new mines Tulawaka, Lagunas and Valedaro and they performed as we expected them to do in 2005 and perhaps a little bit better.  Much discussion about Chile as our Pascua-Lama project tried to achieve its approval for the environmental impact study in Chile and I’m very pleased to be able to say today that we have received that approval and I think it’s a testimony to the way a large company can work with the regulators and the public and the communities to work through plans, to work through issues with solutions that are solutions for everybody.  And we now move on into completing the environmental approval in Argentina, which has been an on-going process in parallel to Chile, hasn’t had the same degree of attention brought to it, and we continue to move on but I think once we’ve broken through in Chile, we remain very optimistic that we will be able to succeed in Argentina and in a time frame that will allow us to start construction and stay on our original plan of production by 2009. Cowai, the meetings are proceeding on schedule.  We look forward to some first gold production in the coming weeks at Cowai within this quarter.  We’re well under way. Something like 85% of what we need to produce to produce gold is already complete and improves on a daily basis.  We continue to have exploration success at Buzwagi we went in from resource to reserves at 2.4 million ounces from the feasibility study and this is an open pit area in Tanzania and the returns in spite of growth in our business there, not only ourselves but with the Placer acquisition.  What does it mean?  When you take a look at Barrick on a going forward basis with Placer, we’ve put a little slide here to show you our metal reserves on a pro forma basis as it would have looked December 31, 2005, you know, clearly, a predominance of gold to 84% of our total (inaudible) a metal value of 139 million ounces, unrivaled in the industry. Significant copper within that gold reserve from 939 million ounces we’ve seen buoyant copper prices in the 60:1 ratio between gold and silver continues to be you know continues to be a feature and of course, we’ve added the copper reserves from Valdabar, which again generates significant cash flow for the company and certainly supports you know our financial results going forward.  And you know, it’s important to note that copper is just really a byproduct to our principle focus of precious metals and predominately gold and in fact, represents only some 13% of our revenues at current metal prices.  In fact, acts as something of a natural hedge against rising consumable costs. We turn our attention to how we’re doing in the integration.  Again, we had developed an integration plan with the hopes that we would be successful so that once we were successful we would have developed our approach.  We did want to use you know our sense of urgency which was one of our core values and dominates our thinking here and so we’ve developed a 30 day plan and 100 day action plan and are well underway.  In fact the 30 day plan is now complete.  It’s about 30 days since we’ve taken control of Placer.  And I must say, we’re very pleased with that progress. We’ve been to all the sites and all the mines.  We’ve already had significant discussions and knowledge transfer from the Placer folks.  We’re in discussions with talent retention.  We’ve had an enormous number of interviews.  We’ve been able to do this because of the regional business structure that we have going forward.  So, you know, we’re very pleased with how we’re making out on the Placer front.  And we’re very optimistic that our $200 million energy estimate is achievable and may even prove to be a little bit on the light side.  And, of course, we’re in the middle of asset, budget and life of mine plan reviews and as you’ll see in a moment, we’ve been somewhat guarded in our outlook for 2006 because we’re not prepared to really become too you know absorb too much of this and set expectations that potentially could be too high until we’ve had the chance to do our homework.  You may recall going back two years I was a bit cautious about not getting out into the market with estimates until we were confident in what we understand. Overall, you know, when we take a look at the outlook for 2006 overall, we’re very encouraged by what we see, and what we’ve seen.  You know, we didn’t have the luxury of the data room moving into the transaction, you know, going on an unsolicited basis certainly created a risk from that point of view and we were prepared for some concerns.  But in fact we’ve been quite pleased with what we’ve seen.  And when you look at the big picture and you look at guidance, perhaps some of the guidance in 2006 it’s a little lower than what people were expecting by adding the pieces together, and there’s a couple of reasons for that which I’ll talk about in a moment.  But we will look at the big picture since, we were very pleased with what we see for the potential of Cortez and Bald Mountain which solidifies a very strong position for us in Nevada and I think presents very interesting operational synergy opportunities for us and an ounce in Nevada you know I think is worth a premium 10 ounces in other places in the world, so I think that stronghold in Nevada is a very important feature for us. (inaudible) again offers up some very good (inaudible) potential and North Mara too confirms some of the exploration that opportunity that we had foreseen.  Let me reiterate that this preliminary guidance, the broader range than we’d like to put out there, talking about 8.6-8.9 million ounces.  This is net of ounces that we will be on selling to Gold Corp. and this reflects 11 months of production.  So you need to take those to adjustments into account.  But you know we definitely are focused on making sure that we can achieve our targets and as we fund these estimates over the coming months, you know, hopefully we’ll be confirming into the higher end of the range and you know perhaps a little bit more optimistic view of the world. On the cost side, again, not too surprising when you consider some of the adjustments that are necessary to align Placers costs that are reporting with Barrick’s  We’ve always reported on a US GAAP basis, Placer had reported somewhat differently.  One main example of that is of course in the first stripping and I think if we adjust Placer’s cost to reflect the first stripping it would have been higher by some $20 an ounce.  So when you start to look at the blending, where we’re at, we obviously are at some cost pressure on our own assets you know which have moved up the cost structure from our own point of view.  So, its not surprising that we’re at a higher cost initiative.  And of course, we have to bear in mind that we can now run lower grade material because of the higher gold prices and because of higher royalty prices because of gold prices.  You know, higher metal prices actually do drive you know some higher costs.  So, it’s not something to be overly concerned about at this stage. The other thing is, that we have copper, some 350 million pounds of copper, our costs for accounting purposes would be about $1.10 per pound.  On a cash basis it’s closer to 75¢ which is more of the longer run rate and this is a function of acquisition accounting.  Basically, Zaldibar, I guess Placer had about 150 million pounds of inventory which we will absorb in sales and cost of sales in 2006 for purchase accounting, we had to adjust that inventory to market prices and so for accounting purposes we will actually be reporting a blend of you know $2.00 + copper costs (inaudible) production costs from a blended basis gets us to $1.10.  On a cash basis of course the actual production cost of about 75¢, so there’s going to be some accounting anomalies arising out of purchase accounting that well affect the numbers but don’t affect the quality of the assets, affect the performance of the Company.  We’ve also taken advantage of these high copper prices to protect the price, we had hoped to secure a minimum $2.00 a pound and have simply absorbed the costs of the purchase of those, so we have complete upside and will sell into this $2.25, $2.30 copper environment, but you know, all the way through the year we have a guaranteed minimum of $2.00 a pound, so again, just making sure that you now, taking advantage of what the market provides us to walk in, good financial performance and not take away the upside. I’ll hit on a couple of highlights that you know help explain the gold production outlook.  There’s a couple of places I think I could just draw your attention to.  On the Placer side, I’m not sure that people were aware that Cortez was going through somewhat of a transition before it gets into the new pipeline deposit.  So, as we look at 2006 and Cortez, and I think this was pretty much in people’s mind, that the grade being processed was down by about 40% and the waste stripping was actually up by about 10% and will have to be expensed under the accounting rules.  And so we’re seeing overall gold productions from Cortez down some 60% from 2005 levels.  But as I would mention, it is a transition year and we remain very excited about the outlook for Cortez you know in the medium and long term.  Similarly, the situation at Cordero is somewhat analogous.  (inaudible) are down some 28% from 2005, ore tons are somewhat low.  West inaudible) mediation work needs to be undertaken so that’s holding it back, but again, you know once you look at a little bit longer term, it actually looks quite prospective and we’re very excited about that. On the Barrick portfolio of course as we’d signaled last year, Plutonic, we ceased the surface mining that affected our production mine last year by about 60,000 ounces.  Of course, with the higher Australian dollar gold prices we’re taking a fresh look at that.  Haven’t put any of that into our outlook for 2006, but there’s some potential upside on that point of view and of course Estay, we did not have the exploration success that we were hoping for and that’s been well known for quite some time now, so Estay is coming to the end of its life.  Round Mountain while we were able to increase reserves there, we’ll take a short term dip in production going forward.  So from a Barrick prospective, what we saw going into 2005 looking forward we’re pretty much on track.  There is upside, Lagunas Norte continues to show very strongly.  Goldstrike had a great year last year.  We look for another good year of Goldstrike.  And North Mara also has the potential for increases as does Bald Mountain.  We have tried not to build in anything we’re not certain of.  A little bit of why I’m somewhat optimistic that we’ll be able to firm up the upper end of the range and go forward here. So on balance very pleased with it.  I will turn my attention now to the gold sales contracts.  This was an issue I think that was in people’s minds as we were talking about the potential merger in the fourth quarter of last year.  So let me put a bit of context around it for you.  We actually had reduced I guess when you look back, when we added it up we had about 12.5 million total ounces between our corporate sales book and our Pascorama book and when we had Placers’ piece in, it brought it to almost 20 million ounces, and I think you know that was sort of a high opening number.  Since the end of the year, we’ve actually brought it down by 1.5 million ounces and actually that represents a total of 13% of reserves, so it’s important to bear in mind that we now have a giant gold reserve base behind all of these contracts. As I said earlier, it’s like 139 million ounces, plus resources, it’s not too hard to see how you’d get to a very large number.  So the Placer position is certainly well manageable within that context.  You know we are committed to reducing the book.  And interestingly enough, we do have some flexibility through again, these accounting rules because on the acquisition accounting, we actually pre-priced all of Placer’s hedge position which is now down to 6 milion ounces at $5.67 an ounce which is the gold price that existed on the date that we took over control.  What does that mean?  Well that means that every time we deliver an ounce of gold to a Placer hedge position, we actually record revenue and we record earnings and operating cash flow based on $5.67, not based on the actual cash received.  The difference actually goes through financing prepayment on the cash flow statement.  So I want to alert you to that so that you know you’re aware of how it works, but it does mean that we can bring down the Placer hedge position without actually impacting our reported financial results and of course, the balance sheet has plenty of potential to absorb the liquidity element of drawing that down.  So, you know we will be focusing on bringing the hedge book down, you know reasonably aggressively over the upcoming year, and you know, hope to by the end of the year really have the Placer, not Placer but our total hedge program well in hand and well managed.  So I think that will also help to relieve the value in the Company. The outlook for 2006, the highlights supports gold production and while Placer perhaps is taking on a predominance in our thinking, and people’s expectations because of its size, we are excited by the opening of a new mine as we always are.  We continue to push forward on the development projects, East Archimedes moving ahead well in Nevada, Pascua-Lama, a major milestone having been achieved in Chile, move on with that; Buzwagi from pre feasibility to feasibility; Cortez, continue to work aggressively on the permanent side to move that into production and Pueblo Viejo you know getting our arms around that with a desire to move that along aggressively.  Obviously, we’re focused on the integration with Placer’s operation.  We’re focused on achieving our synergies and looking for more opportunities (inaudible) practices between the two companies; really looking to find the human resource talent.  Of course I just talked about the hedge position we’ll be focusing on that.  And we look forward to strong earnings and cash flow in this continuing favorable gold and copper price environments. And why don’t we just conclude before we open up for questions, the case for Barrick.  I think the fundamental premise here is that we have the size, scale and breadth to be successful in this challenging industry.  We’ve already seen how you know the strength of the Company is being able to help us achieve various things.  It wasn’t without notice that we’re a very strong Company with space when we’re talking to the regulators in Chile.  We couldn’t have the size and scale to realize on the promises we make on community development and the environment.  We’ve demonstrated you know the experience the management team and operations and development.  We look forward to augmenting that team with Placer folks.  And we continue to improve our cost management strategies and while they’re not you know sort of Herculean in terms of being able to conclude the cost increases, they have done much to mitigate what other companies have experienced in terms of cost increases.  We have an unrivaled development pipeline and we now have the ability to manage around that pipeline and to have some options.  We have unrivaled exploration as we look to Company’s (inaudible) positions.  And I must say very importantly, a very strong planned exploration potential in Nevada which is key.  Our strong financial position, our strong balance sheets to support our plan and you know just a huge reserve base.  So I think that you know the items that we are looking for and the combination between Placer and Barrick, we continue to see and we continue to believe strongly in the combination of the two companies to position ourselves to develop good returns for our shareholders. So with that, let me open it up to questions and we look forward to it.
Operator: And the first question comes from the line of John Bridges from J.P. Morgan, please proceed with your question.
John Bridges: Good morning, congratulations on the deal Greg and everybody.  I wonder if you could give a bit of guidances to how you expect to bring the hedge down.  It’s a bit difficult to get to an earnings estimate without some guidance in that regard?
Jamie Sokalsky: Hi John.  Well as Greg mentioned, the Placer position has in effect been recalibrated and changed to the $567 price.  If you look at what we’ve done so far since the end of 2005, we reduced the position by 1.5 million ounces.  So I think you can see that we certainly mean business with regards to continuing to lower the hedge position.  The fact that the Placer position is at that higher level does give us a lot of flexibility.  We are going to continue to keep our foot on the pedal in terms of reducing the gold ounces, we haven’t set a target, but it is absolutely top of mind to get the ounces down.  As you can understand, we want to make sure we do it on an opportunistic basis and do it as efficiently as possible so we prefer to not put out specific guidance but suffice to say it’s going to get down.
Greg Wilkins: It’s Greg.  I might add that I think what you’re really hearing is that you know based on our assessment of the gold market and the potential you know moves that are available, you know, we are prepared to use some liquidity you know to bring the book down.  So there’s no magic to it.  It’s going to be through deliveries.  It’s going to be in whatever means that we have available to us, but philosophically, you know we’re prepared to use the strength of the balance sheet to bring the position down.
John Bridges: Okay, thanks.  If I may, a follow-up, repeat.  We were assured on the Q3 call that the problems at Zaldaval were over, but the Q4 result suggests that there’s still difficulties there.  I just wondered Pete, if you know if you had a second opinion on what’s going on there and when the mine will return to normal?
Peter Kinver: John, the sort of feedback I’ve got from the operation is that the key issue there at the moment is really slow recoveries.  The copper is going on to the pads and at the moment it’s a relatively slow recovery, so we expect (inaudible) for those recoveries to improve during the year.
John Bridges: They were talking about sulfite in the ores, it that a bad patch or is going to be normal going forwards?  Any thoughts on that?
Peter Kinver: The information I’ve got is the sulfites are not reacting biologically, the bacteria are not being very effective, in order to get a temperature build up you need the bacteria to break down the sulfites to generate the acids.  So what they’re doing now is actually putting some elemental sulphur in the pads and the bacteria will attack the sulphur produce sulphuric acid and then act as a catalyst to get the whole process begun, and the process generates heat and then the heat makes the bacteria more active.
John Bridges: You’re going to have to become a chemist.
Peter Kinver: Yes.
John Bridges: Thanks guys.
Operator: Thank you.  Our next question comes from the line of John Hill, please proceed with your question, from Citigroup, I apologize.
John Hill: Thank you and I would echo the congrats on the quarter, the deal and also the progress of Pascu-Lama.  I was just wondering if you could shed a little more light on the cost side, obviously total cash costs ran $327 for the year, $227 the quarter.  We’ve got some guidance for next year from Mergeco, but there’s purchase accounting, there’s stripping accounting changes, on apple to apples basis, how to the Barrick operations look from ’05 to ’06 and what percentage escalation to you anticipate?
Jamie Sokalsky: Hi John, it’s Jamie.  Well there are a lot of factors that are impacting the cost and Greg mentioned some of them.  By lower silver credits at the Barrick operations, even though we’re hedged, they’re higher currency hedge.  And that’s probably about 5% to 10% higher, but they’re still 15% lower than the current market. That has an impact.  Higher gold prices increase the royalties as Greg mentioned.  Grade mining at lower grades, the general inflationary increases across the board as everyone has seen in the industry.  Overall, as we have highlighted in the third quarter, there are going to be cost pressures over our guidance, so we’re looking at a cost that is certainly higher than $227 that we experienced in 2005, at the Barrick level.  But, we’re doing many things, including continuous improvement managing the commodity prices to keep those costs low going forward.  So they are higher than last year, but they’re not significantly higher.  They’re sort of in the 5% to 10% area.
John Hill: Great.  And just one quick follow up.  Now that you’ve had an opportunity to look under the hood very briefly, what’s the early read, what do you like better, Donlan Creek or Pueblo Viejo and when should we expect to hear back on the lease and assessment of the numbers as they currently stand?
Greg Wilkins: Hey John, I think it’s a bit early to give you that early look under the hood, it’s 30 days in, you know we’ve been focusing on trying to get the you know maybe the 20,000 foot view of everything.  So we can kind of frame and kind of get in our minds, so we knew that you guys would be interested in sort of some guidance so we focus our attention on those sorts of issues.  We’ve been focusing on the people side, you know, people retention is key to us, this organization and I mean I think the 20,000 foot view, I’ll tell you that we’re excited by the potential in the projects, but probably you know a little slower in the schedule than we might have anticipated going in.
John Hill: Very fair, very fair.  Thank you.
Operator: Thank you very much.  And our next question comes from the line of Steve Butler from Canacord Adams, please proceed with your question.
Steve Butler: Yeah, good morning guys  Maybe just asked another way.  Greg you gave us some guidance with respect to Cortez and Progra, could you try to quantify for us in your 275, 295 Browns caskof guidance the impact of the sort of the temporary down dip to Cortez and Progra in terms of ’06, sort of one time calamity on profile there?
Greg Wilkins: You know Steve, it’s not insignificant, but you know what we’ll do for you is if you can give us the luxury of a couple more months, when we report first quarter we’ll really work to try and give you more specificity on a bunch of the things that we’re seeing here.  I just, I’m a little reluctant to come out of the box too early and again, just have to reiterate, we didn’t have the ability to look at any of the data in the data room, so we didn’t get access to information really until the end of January, I’d say the 20th of January.  So if you can just bear with us, you know we’ll be a lot more confident on what we share with you if you give us a couple more months.
Steve Butler: Okay.  And just a follow up on your comments on the Placer portion of the 6 million ounces, is that correct and $567 an ounce?
Greg Wilkins: Yes, $567.
Steve Butler: So can you just go through that again, just briefly how you’ve restructured that?  Because on the stated results here today from Placer we don’t obviously see those numbers.
Greg Wilkins: It’s not actually restructured.  This is an accounting anomaly.  You know through purchase accounting, we have to revalue all of the assets and liabilities and you know generate revaluation of all the mines and we end up with you know a good will number which we’ll be working on over the next, the course of the year.  But with respect to the hedge position, all those contracts if their actual price you know in the forward prices become irrelevant, we basically say all of those ounces, 6 million ounces are repriced for accounting purposes at $567 an ounce.  The difference between that and the contract price is set up as a deferred revenue account and that’s on the balance sheet, so every time we deliver an ounce of gold from into that Placer book we actually record the revenue at $567 and we record whatever the new depreciation numbers are so there’s a whole recalibration of the earnings calculation for all of the Placer assets including the hedge book.  Obviously at $567 it gives us substantial margin, so the earnings performance will look good and the difference between the cash realized price and the accounting price of $567 will be treated as a reduction of that deferred revenue and go through the financing line items in the cash flow statement.
Steve Butler: Okay.  That’s good I wish I was a CA.
Greg Wilkins: You need to be in some of this stuff.
Steve Butler: Right.  In terms of going under glaciology and the statements from the regulatory authorities in Chile that suggested that you can’t theoretically touch the glaciers, could you maybe clarify what’s been said on that?  I know you said that in your quarterly that you may have to move or you have moved about 1 million ounces of reserves, reclassified them, so perhaps 1 million ounces would not be mined by not being able to touch the ice, so maybe if you could clarify that.  Thanks Peter.
Greg Wilkins: The permit that we have you know is authorized the project to go ahead and in summary said we shouldn’t affect the glaciers.  The glacier impact was only a half of 1% of total glacier volume.  It was never very material and it was a layback to allow us to expose the ore body and the earliest at which you know we’d have any material impact on mine plan would probably be around 2017, and the amount of ore that we might not be able to get because of the degree of the layback, might be up to 1 million ounces.  We still need to run some more engineering models on that to really quantify it.  It could be, I certainly don’t think from what we see be over that, it could be less than that.  Of course, you know, we also have to take into account that you know this is premised on the plan, not just on the actuals.  We don’t know what the final wall steepness will be.  Whether that has a bearing on it, if it could be a little steeper, it may have no bearing.  You know the glaciers have natural movement just under their own circumstances and conditions and so it will be a function what they look like when the time comes.  Perhaps we were very pleased with getting the approval because you know, with or without any impact of not touching the glaciers, we still have an economic project.  And so you know we have we’re actually excited to be able to move ahead.  We are now very focused on getting the approval in Argentina.
Steve Butler: Okay, thanks Greg.
Jamie Sokalsky: It’s Jamie.  I just wanted to jump in and clarify something that I mentioned to John Hill on a previous question.  The cost for the Barrick operations are more likely going to be in the range of 10% to 15% rather than 5% to 10%.
Operator: Thank you.  Our next question comes from the line of Victor Flores from HSBC, please proceed with your question.
Victor Flores: Yeah, thank you.  Good morning.  I have two simple questions and then perhaps I’d like to come back to the issue of production.  Could you give us an indication of the cost that you incurred in buying back those hedge positions during the first two months of the y ear?
Jamie Sokalsky: Victor, it’s Jamie.  The as Placer had disclosed as well in their year end, they had certain purchased a number of call options and other gold lease obligations subsequent to the change of control and that was about $222 million.  If you look at the other 500,000 ounces above that, we’re looking at something that would have been in the neighborhood of $300 million in total +/-.
Victor Flores: Alright, so $222 + $300 or?
Jamie Sokalsky: No, no. $300 million and that would have been the cash cost for that.  Some of that we will be in fact getting reimbursed by Gold Corp. in terms of their share of the mark to market of the deal.
Victor Flores: Right.  Second question goes to transaction costs.  I don’t know if you’ve disclosed a number for the estimated cost of the Placer Dome acquisition in terms of transaction cost?
Jamie Sokalsky: In terms of transaction costs, we haven’t disclosed that yet.  The costs are going to be in the neighborhood of about $100 million. Victor Flores. Okay.  Great.  Thanks.  Now if we could just come back to production.  You’ve given us some hint that production from the combined group will be somewhat less than 9 million ounces due to things like Porgra, Cortez, you mentioned Plutonic, Eskay, but it still seems like there is some production missing if you will by looking at what both companies that could conceivably generate, are there some other assets that you haven’t touched upon where production will be lower?  Are there some assets that either you’ve considered closing a post acquisition Placer was considering closing that we haven’t brought up yet?
Peter Kinver: Victor, it’s Peter here.  We haven’t got any specific major changes.  We have basically taken a conservative view of their production because as I said earlier we don’t, we had 30 days looking at these operations and we’ve obviously got risk adjust some of these operations, so in general, it’s not one individual operation, it’s more of a general thing I think.
Victor Flores: So without putting words in your mouth, you’ve let yourselves lots of wiggle room.
Peter Kinver: Wiggle room is a conservative approach I think.
Victor Flores: Any sense as to I guess it sounds like maybe when you report the first quarter we’ll have a few more firmness on these numbers?
Greg Wilkins: Victor, we’ll work hard to firm up much of these things.  I recall when we were talking about the transaction back in the fall you know, one of the reasons we were anxious to try and do a (inaudible) deal was because people get distracted by transactions and I’d say that we’re seeing a little bit of that in the early production results, you know from the portfolio so you know hearing good things, you know, getting on track for the balance of the year, but you know we’re seeing a bit of softness in some of the results coming into January.  You know we’re just going to you know not build in optimism at this time.  So I think that there was a little bit of  you know lack of continued rigor because of the transaction and we just need to sort that out.  And of course, we’re still you know all the people issue that are moving around are certainly distracting people from necessarily from getting on with their costs and production management.
Victor Flores: Great and then just perhaps final question.  Are you in a position at this point in time to talk about core and non core assets?
Greg Wilkins: No.  You know, we’re going to do a full assessment of all the assets and look at what we think are appropriate strategies for those assets.  There are some very interesting opportunities in the portfolio and we are not in a position right now to be able to give you that direction.
Victor Flores: Okay.  That’s fair enough.  Thank you very much.
Operator: Thank you.  Our next question comes from the line of Mark Smith from Dundee Securities.  Please proceed with your question.
Mark Smith: Yeah, Hi guys.  A few quick questions first and then a more philosophical one, but can you just give us an indication now that you know what the bottom mark to market was on the hedge book at closing, what the Gold Corp. purchase price would be?
Jamie Sokalsky: The overall Gold Corp. purchase price is going to be in the neighborhood of $1.5 billion all in but there still will have to be a number of adjustments once we finalize the deal that could impact that number.  It’s going to be around $1.5 billion.
Mark Smith: Okay.  Cool.  And have you had a chance to go through the legal, is there any first rights that will be struck in this transaction, also the option on some of these assets?
Jamie Sokalsky: There’s some but indications are they won’t impede the transaction.
Mark Smith: Okay.  Alright.  And, can you maybe comment on the deal that Placer had struck, the Letter of Intent between them and Facsal and where that stands, how your negotiations are going, I see the Quad’s been in the press recently (inaudible) know about that?
Alex Davidson: Mark it’s Alex.  We, as with all the Placer assets we’ve got our technical guys looking at Facsali right now and we expect to spend a bit of time looking at that.  And I think when we get our heads around what the asset looks like, we’ll be talking both other parties and to come to an agreement on that.
Mark Smith: Okay, so we’ll just have to bide our time on that one.  Ad I guess Jamie, could you just give me a clean 2005 number before unusuals?
Jamie Sokalsky: Before unusuals it’s 56¢.
Mark Smith: Alright, thanks very much.  And then finally, I guess now that you guys have an enormous critical mass or burgeoning critical mass in Chile and Argentina, and you’ve become a power generator in Nevada, is there any thought of your putting a coal generating plant in Chile or a gas fueled generating plant in Argentina?
Greg Wilkins: Mark, you know when look through the portfolio, power and energy management you know is one of the biggest capital and cost drivers, and so we’ve actually set up internally some people to look at a broad energy management strategy and looking at just that, looking at how we can be involved perhaps in the construction of good long-term, low-cost power facilities  Our experience with the power plant in Nevada has been terrific so far.  As you know we became I guess as the layman would put it sort of a utility provider, allows us access to the grid to provide, to be able to purchase from the grid, to be able to supply to the grid so what we’ve in essence done is cap the cost of power, but taken the opportunity to be lower if the market provides it So, just by way of anecdotal example, the shoulder season in Nevada are the times when the power drive is the least and we were able to actually go in and buy forward power at prices that are very attractive and lower than our cost of production.  So we actually get to idle our production, our power production facility and take the lower cost.  We’re seeing some very interesting things come out of  that.  And it’s just one of the issues we’re putting into our mines as we think about power strategies, but you know Pacer has a coal deposit.  It makes some sense to be able to open that to provide power.  Tanzania needs you know, a good long term source stable power for all our Tanzanian operations, plus (inaudible) you know which we don’t’ talk much about but is a big nickel project that Falconbridge is working on.  When you reach that kind of critical mass, you can certainly say, how should we deal with power long term, costs down and so on.  And I think the same would be in Chile.  A lot of the things that you know we use in mines as we look at Terra Fassali, and Pascua, look at Veladero, look at Valdevar, you know what did we do there you know from a power strategy prospective.  You know I think there’s some very interesting opportunities.  I can’t tell you, you know we’ve got the answers for you today, but I think you know, financing structures and construction and (inaudible) power is something the we see as an opportunity within this (inaudible) we have.
Mark Smith: Thanks very much.  Maybe I could just throw in one final question for Alex.  He mentioned Casalli, (inaudible) competition is going to pick up for some of the larger deposits growing in certain more risky areas of the world, what’s Barrick’s philosophy on sort of global issues with that regard.  I see that you’ve exercised  your rights on the highland goal positions?
Alexander Davidson: Mark, I think one of the things that the acquisition of Placer does, it creates a barrack with the strength to focus on the areas that are the best areas in the world to look for gold looking around the key areas like Nevada, Tanzania, and Australia.  The other thing it does do, it gives us a much bigger denominator to be able to go into areas that are perhaps not as proven.  So we’ll be taking a look at really all of the larger deposits, gold deposits in the world; really in most places and decide on an individual basis whether we can.  We clearly have more capacity to do that, I think that you know you saw the record dig deal we did with Anafagassa, that’s a classic example of what we’re able to do now is to partner with a world class Chilean company to develop a property in Pakistan, an excellent property with 27 billion tons of copper and 21 million ounces of gold plus tremendous upside, so that’s the kind of thing that this new company can do.
Mark Smith: Alright.  Thanks guys, sorry for taking so much of your time.
Operator: Thank you.  Our next question comes from the line of Barry Cooper from CIBC, please proceed with your question.
Barry Cooper: Yeah, a couple of questions on some things that I’m struggling with.  You referred to cash costs at Zaldibar, I guess it’s a combination of Zaldibar and Osbourne being  $1.10 a pound, but then you say there’s a 35¢ non cash component to that.  Just why are you calling it a cash cost of $1.10 and I’m assuming that there’s also, then on top of that $1.10 a depreciation, amortization cost of another 20¢ or so.  What am I missing on that?
Jamie Sokalsky: Barry, it’s Jamie.  The reason why there is that 35¢ amount is because we had to revalue the opening inventory.  It is really just a valuation based on a current price.  That amount of money has been spent Placer has spent money in terms of putting in about 150 million pounds into inventory.  Because of the way we have to revalue all the assets and liabilities of the company when we purchase it, it really just is an uplift for accounting that we have to make that in essence, creates this $1.10 price.
Barry Cooper: The $1.10 is not a cash cost then though?
Jamie Sokalsky: It will show up in that term and it will actually have to make a further adjustment.  We’ll still classify it as a cash cost, but in essence, real cash is going to be 75¢.
Barry Cooper: Well I guess, I don’t know what cash costs are any more, but anyway, there’s another 20¢ or so on top of that for amortization then as well?
Greg Wilkins: Barry, it’s Greg.  Maybe perhaps the look is, the accounting forces it to look at the cost of sales, does that help?  I mean it’s not appreciation which really non-cash, but you know, the way the accounting works, we have to kind of treat this inventory at market so for that first 150 million pounds that flows through, we’re just an odd seller of market copper.
Barry Cooper: I guess I would have just said, you’re cash counts for 75¢, there’s a 35¢ accounting adjustment.
Greg Wilkins: That’s correct. Barry Cooper But you’re referring to the $1.10 as a cash cost.
Greg Wilkins: Again, you may be right because we have to treat it as a cost of sale and you know it’s not depreciation it’s sort of a non cash accounting adjustment in the cost of sale which kind of gets defined as cash cost.  So if that’s a little confusing, I apologize for it.  Not dissimilar to how we did the deferred stripping, Barry.  Deferred stripping ended up being in cash costs even though there wasn’t really cash going out the door.  It’s just the way it’s classified.
Barry Cooper: Okay.  Then what did the foots cost you for the copper?
Greg Wilkins: They were $36 million, about 12¢ a pound.
Barry Cooper: Pueblo Viejo you put 3 million ounces of the hedge book to project hedging if you want to call it that, but at the same time you said that you’re not going to count Pueblo Viejo’s reserves as reserves, so you’re just going to keep it as metialization.  That seems a little bit inconsistent, how you can put a hedge book against no reserves?
Jamie Sokalsky: Barry, it’s Jamie.  No, what we’ve said is that Pueblo Viejo will be classified as reserve in under 43101 on the Canadian regulation, so it is in our reserves.  For US purposes, we aren’t putting into reserves yet, it’ really primarily impacts whether we can capitalize cost or not, so we are putting PV into reserves under 43101.  And in essence that enables us to allocate these hedges to us.
Barry Cooper: Okay; so when you talk reserves are you going to be talking Canadian reserves or US reserves when you quote numbers going forward?
Jamie Sokalsky: That will be the Canadian reserves under 43101.
Barry Cooper: Okay.
Greg Wilkins: We’ve always talked about Canadian 43101.  The US you may recall (inaudible) is Norte for example, we are actually in construction before we finally classified it as a US SEC reserve.  You know, the regiment is extremely strict in terms of looking at things like fermenting and so on.  I mean Canadian standards says if you have a good strong reasonable expectation of getting permit, US standard is more like you have to have a permit.  You know, that’s just one major (inaudible), so I think for good measure for understanding the quality and nature of reserves is the Canadian standard and what we continue to report by.  We have to account by US standards because we’re a US GAAP reporting company.
Jamie Sokalsky: And that goes to what Greg’s comment was earlier how we were conservative with how we look at reserves and we take great care in making sure that we’ve reached the stages that allow us to put these into reserves for both Canadian and US purposes.
Barry Cooper: So is Pascua in US reserves?
Greg Wilkins: Yes.
Barry Cooper: Even though you don’t have the permits?
Greg Wilkins: We actually did have the permits back in 2001, what we did is went in and wanted to refresh them through this process and it was because we had the permits back then that enable us to keep in in reserves, US reserves.
Barry Cooper: Okay.  And in putting these ounces from the hedge to the specific projects, is there any time that they would become on recourse to Barrick?
Jamie Sokalsky: Well the recourse to Barrick (inaudible) but we can in fact as we put in place project financing for these projects we would contemplate assigning those ounces actually to the project.  Currently they’re still recourse to Barrick, but as we look through the financing and the agreements, we could in fact make it otherwise.
Barry Cooper: Okay.  Interesting.  Then final question for Peter.  Underground issues at Meekolam, what exactly is going on there and how long are we likely to see this bad ground conditions or is this something we’re going to be faced with probably for the mine life?
Peter Kinver: We did have a tough year as you pointed out.  The various issues that contributed to it, but the key issue is the deeper ground especially in rodeo, which is not very friendly.  What we’ve introduce is a drift and fill type of mining method which is coping with the weak ground conditions, that’s had a negative impact on productivity and obviously cost.
Barry Cooper: Okay, so that’s likely to continue for the foreseeable future?
Peter Kinver: Yes it is.
Barry Cooper: Okay, thanks a lot.
Operator: Thank you.  Our next question comes from the line of Michael Fowler from Desjardins Securities, please proceed with your question.
Michael Fowler: Yeah, just Jamie, coming up to the first quarter, how do you account for the basically $300 million in I guess costs, associated with buying back the hedge?  Are you going to report that in the first quarter and how is it going to be reported?
Jamie Sokalsky: Michael, there are a couple of things.  The bulk of that amount will be reimbursed as part of the overall Gold Corp. transaction.  And the rest of that will in essence show up as in the realized price of the transaction, of the revenues so, most of that is going to be coming in, a part of that will be coming in at the $567 per ounce, but some of that also was reduced in January when we aren’t picking up Placer results.  So it’ll just come out of the purchase price equation.  In essence it’s not really going to go through our income in the first quarter on a substantial basis.
Michael Fowler: So that means the $222 million is basically coming out of the finance side of the cash flow statement and on to the balance sheet and the 500,000 ounces that you delivered into for Barrick I guess that comes up in the income statement, is that correct?
Jamie Sokalsky: Well the bulk of the 500,000 ounces is what Placer’s contracts and they will, that will come out of their results in January, which really will not show up in Barrick results per se because we’re basically consolidating Placer from the end of January going forward.  The $220 million number (inaudible) it’s not really going to be much of an impact on Barrick results in terms of the infant statement going forward.  As a result of the reduction in the hedge (inaudible) of 1.5 million ounces that we did in the first month and a half of the year.
Jamie Fowler: Sounds like magic to me, anyway.  Also on the I guess you wanted I think you talked about reducing you hedge book 700 (inaudible), hedges, that is going through the income statement I take it.
Jamie Sokalsky: Yeah, ultimately when the 700 ounces of floating rate contracts gets delivered, there’s about a ($90 )million negative mark to market that’s attached to that, that’s our overall mark to market, but will flow through the income statement.  As you know, what we do with those contracts, we convert from a fixed hedge price into a floating price and adjust it for the mark to market differential on the contract.  By doing that with those contracts, those 700 contracts, we’ve been able to participate in an additional about $100 million rise in the gold price.  So had we not converted those into floating, we wouldn’t have been able to realize another $100 million on those contracts when we delivered them through.  But as they come through, yes, they will from a Barrick standpoint they will, that amount will run through earnings. Jamie Fowler Okay.  Thanks very much for that Jamie.  Just a very last question, when will be the date of your you know the first consolidated income statement with Placer Dome?
Jamie Sokalsky: March 31st.
Jamie Fowler: So until then there’s Placer and Barrick will report separate first quarters?
Jamie Sokalsky: No you won’t see any more financial statements from Placer that was the last financial statement that you’ll see from them at the end of the year.  We expect to complete the 100% compulsory acquisition in mid March and as a result we will have 100% of Placer and just report one consolidated financial statement as of March 31st..
James Fowler: Okay.  Thanks very much, I’m glad I’m not an accountant anyway.
Operator: Thank you.  Our next question comes from the line of John Tumasas from Prudential, please proceed with your question.
John Tumasas: Thank you.  First, could you explain any margin requirements, balance sheet or other restrictions in the hedge agreements of Placer Dome, who’s financial strength or wisdom or negotiations might not have been as good as Barrick’s five or so years ago, when some of these hedges were begun?  And second, could you describe the sensitivity of your gold reserves if the price of gold were $350 or $450 rather than $400 assumed?
Jamie Sokalsky: John, I will talk about the Placer trading agreements.  Their trading agreements were similar to ours in a lot of respects, but didn’t have some of the features. They don’t have any margin agreements.  They didn’t have much flexibility in term as the Barrick agreements.  But what we’re doing now is and we’ve had discussions with all of the counter parties which for the most part are the same as ours, and we’re in the process of taking those trades and the trading agreements and to the extent possible converting them to Barrick agreements.  We feel that we’ll be able to largely make consistent much of that hedge division, but in some cases, we won’t.  There really aren’t any margin requirements or negative balance sheet covenants that we have any concerns about with regards to their position.
Peter Kinver: And on the issue of sensitivity, we run the reserves at different levels and we should get those results, but I can say that the underground reserves will not be as sensitive to increasing price because of the cost which is going up, but certainly the open pits will be sensitive to an increase in gold prices.
John Tumasas: When do you expect to publish sensitivity?
Greg Wilkins: John, I’m not you know, we are not inclined to publish sensitivities, there’s a lot of flexy that goes into rerunning a mine plan to give you true sensitivity, it not just about gold price movements.  You know, you have to recalibrate you know your total mining plan assumptions.  I’ve been reluctant to publish sensitivities.  We’ll have to take that, we’ll have to think about it.
John Tumasas: Greg, it’s reasonable for the investor to wonder if the reserves, the 9 million ounces benefited from the $400 gold price and how much the reserve would have been if last year’s gold price or cost were used?
Greg Wilkins: That’s not a sensitivity question, John.  It’s a question about what was the increase in reserves to 89 million related to the gold price.  And I will tell you there’s probably maybe 25% to 30% was related to gold price.
John Tumasas: Thank you.
Operator: Thank you.  Our next question comes from the line of Tanya Yugastonic, from National Bank Financial.  Please proceed with your question.
Tanya Yugastonic: Hi everyone.  I have two questions.  First one I guess is from Jamie, just coming back to the hedge book.  Maybe, Jamie, can you just let me know on Parsa 6.9 ounces which have now been recalibrated at that $567 per ounce, is that going to be my break even cost when I try to calculate the break even for the entire book?
Jamie Sokalsky: Only from an accounting standpoint, Tanya.  It’s restarted to that level.  If you want to calculate the break even level in terms of what’s going to flow to our income statement that’s the price to use.  But the cash break even will stay the same as what they had.
Tanya Yugastonic: Okay.  So am I safe to say the overall break even on the entire 18.5 million ounces is somewhere in the 310 to 315 range?
Jamie Sokalsky: Yes.
Tanya Yugastonic: Okay.  And then what, and how does this new recalibration up to $567 per ounce, what impact does that have tax wise as those hedges are sitting in Barbados?
Jamie Sokalsky: That really doesn’t have much of an impact with regards to the Placer hedge book because a lot of their hedges really are outside of Barbados.
Tanya Yugastonic: They’re not in Barbados?
Jamie Sokalsky: Very little are in Barbados.
Tanya Yugastonic: Can I ask where they’re sitting them?
Jamie Sokalsky: They’re in Canada, Australia.
Tanya Yugastonic: Okay.  It doesn’t impact on your corporate tax.  Okay.  And then actually, thanks Jamie
Jamie Sokalsky: Tanya, depending, there could be some impact on a tax basis as we take them down, depending on the tax situation in certain countries like Canada, but at this point we really need to work through a lot of that and get a handle on the tax situation.
Tanya Yugastonic: It’s just that in Canada you have operations at least in Canada that you could offset things that if you have Barbados you wouldn’t.
Jamie Sokalsky: That’s correct.  We don’t have a significant amount of operations in Canada. As you know we’re selling the variable Canadian operations to Gold Corp.
Tanya Yugastonic: Okay, but you still have the (inaudible).I guess.
Jamie Sokalsky: That’s right we do have that ability.
Tanya Yugastonic: Okay.  And then my second question is actually for Alex.  I just wanted Alex to comment a little bit on Dee guess from your Q3 results, Alex was quite excited about what was happening at Dee and I guess 158,000 out resources is a little disappointing, maybe you could talk a little bit about that?
Alexander Davidson: Yes, So far too early to anticipate what you’re talking about on Dee.  We finished about 28 holes at year end, the resource guys got (inaudible) resources at 350 they have to be in a  pit and all sorts of things.  We on an a insitu resource are expecting or calculating much more than that ,but those are the amounts in measured and indicated there are more resources I think than inferred, but we don’t have those and I’ll have to add to inferred ounces to measured and indicated ounces.  So the 158 I think you know is a small number that reflects the calculation and conservatism and we’re looking at South Arturo being a much bigger resource than that at the moment.
Tanya Yugastonic: Can you talk a little bit about the program then Alex, what you have for this year?
Alexander Davidson: Yeah, we’ll be spending about, at least about $5 million this year on South Arturo/  We’ve had excellent results in January.  We had about 5 rigs on the property right now and have had good results in both January and February, extending the high grade core of the oxide to the north and also some encouragement to the east.  So the focus in 2006 is going to be both on in-fill and expanding the resource, I’m sorry we have 3 RC and one a quarry (inaudible)
Tanya Yugastonic: Okay.
Alexander Davidson: Everything so far on South Arturo has been oxide.
Tanya Yugastonic: Okay.  And I guess we will have an updated resource do you think during the year?
Alexander Davidson: Definitely.
Tanya Yugastonic: Okay.  Okay. Thanks a lot.
Operator: Thank you very much.  Our next question comes from the line of Carey Smith from Heywood Securities.  Please proceed with your question.
Carey Smith: Thanks Jamie.  Can you give any guidance at all for ’06 on sort of overall GNA overall expiration and business development expenses and DD&A (inaudible) on a consolidated basis for the two pro forma companies?
Jamie Sokalsky: Carey we really are not in a position yet to do that.  There’s still a lot of work to do. As you know, we’ve only really been in there for 30 days or so and so we are going through a significant synergy analysis in many areas and we think it’s more appropriate to come out with the numbers that are better scrubbed a litte bit further down the road once we get a better handle on things.
Carey Smith: Would you be able to say something more definitive at your Q1 then?  Is that the intention?
Jamie Sokalsky: Yes I think that’s really what we’re shooting for.
Carey Smith: Okay and just on the $100 million of the transaction costs, how much of that would get expensed to say the first 6 months of this year?  Was any expensed in 2004, 2005 pardon me?
Jamie Sokalsky: What Placer had $21 million that they expensed in 2004, but really the bulk of that $100 million is part of the transaction, part of the purchase price of the asset, so very little of that would be expensed.
Carey Smith: Okay.  So it’s basically – okay.  And one question for Peter if I may, with 1 million ounces coming out the Pascua Lama pit, does it change the strip ratio at all in any significant way or is it really basically just you lose 1 million ounces and it doesn’t really effect the economics significantly?
Peter Kinver: Carey, as Greg said, we’re trying to optimize it.  We’re not sure what the accumulations of ice are going to look like going forward because we’ve got evidence that clearly shows for the last number of years they’ve actually been shrinking.  So we’re looking at various optimizations and the number Greg has given is just an indication of (inaudible).
Carey Smith: Okay.  Okay, that’s great, thank you.
Operator: Thank you.  Our next question comes from the line of Mike Durose from Scotia Capital, please proceed with your question.
Mike Durose: Thank you.  Good morning everyone.  Just a couple of questions.  First on Pascua, if you could just flush out some of the details on the environmental permits that you need to acquire from the Argentineans?  What’s the timeline in terms of when you expect to have them?  And what specifically is it that you need?  And also, in terms of the capital estimate for Pascua, I mean you’ve got a somewhat dated number the $1.5 billion, I’m wondering when we can expect an update on that?  That’s the first question.
Gregory Wilkins: Let me start with the Argentinean process.  It is ongoing and you know the public comment period is actually near its expiration and it will be issued raised you know that we’ll deal with from a technical perspective.  We expect them to be you know largely in line with the same types of issues raised in the Chilean side so we have done you know, used an enormous amount of technical work to be responsive to us, I think that you know, we’re very well prepared to deal with any of the issues that may or may not come up.  It’s – once we have the principle environmental studies both in Chile and Argentina then we have to get into what we call secteral permits which are sort of the more specific item by item and issue by issue type permits, but typically as long as they are consistent with the study the analysis and the approved environmental study, then they come pretty much as a matter of course.  Our goal is to have the permits ready to go for a construction start in the fall of 2006.
Mike Durose: Okay.  And then just on the capital budget side.  I’m wondering when you expect we’ll get more details in terms of where you think you’re really going to be at?
Gregory Wilkins: We were really looking to kind of get the permitting piece squared away so that timing issues could become certain and therefore, we could really roll out updates on capital operating costs production levels and so on you know with a higher degree of certainty than trying to do something on an interim basis when the programs are still unclear.  Not to say that we haven’t been doing an enormous amount of reengineering work and studies and you know we are optimistic that the permitting schedule will support that construction decision but you know we’ll probably be looking at something you know hopefully second quarter perhaps sometime or maybe third quarter, but it will be more in conjunction with getting the Argentinean side of the permits squared away.
Mike Durose: Okay.  Just a question on the cost guidance that you provide us this last night, the $200 million in annual synergy that you’re sort of running for.  How much of that  was factored into the guidance that you provided for 2006.  I’m assuming a relatively small amount, but if you could give us a sense, it would be helpful.
Jamie Sokalsky: Sure.  It’s Jamie.  Very little of that actually is factored into the actual cash cost calculations we’ve still got some more work to do there.  And we believe that we will be able to factor in a good part of some of those synergies into operating costs.  So, that some (inaudible) that we haven’t factored in yet.
Mike Durose: And maybe for Alex, just on Buzwagi, moving that project through permitting, could you just give us a sense as to what kind of news flow we can expect from that project in say over the next twelve to eighteen months and also the sort of scale and scope you thinking about in the pit?
Alexander Davidson: At the moment, we’re you know, we’re moving in, the feasibility study is completed and we’re moving in a feasibility and that’s exactly what the feasibility study is going to determine is the scope of the thing.  It’s an open pit, and I’m not sure of the rate yet, that’s what the feasibility is going to do.  We’re also spending another million or so on exploration around Buzwagi this year to continue add to reserve and resources.  And the news flow, we’ll provide quarterly updates in our quarters on the progress on that.
Mike Durose: Okay, thanks guys.
Operator: Thank you very much.  We have time for one more question and the question comes from the line of Brian McArthur from UBS, please proceed with your question.
Brian McArthur: Good morning.  Just a couple of questions.  Just following up on Tanya’s question.  Can you give me the split of how many of the hedges go through Australia versus Canada, because as I understand it will have some tax implication.  Just given where you have assets and profits?
Jamie Sokalsky: I don’t have the exact split on that at the moment.  We can try to get back to you on that and give you some more guidance on that.
Brian McArthur: Would it be fair to say more than Australia just with all the ore, the (inaudible), the other stuff coming through.  Conceptually, that’s what I had in my mind.  Do you know if that’s right?
Jamie Sokalsky: I couldn’t say.  I think it’s probably a lot less because particularly given the options that were bought back with the exotic Karl sold Karl options that were in essence in Australia so the Australian position has been reduced quite considerably so my I guess what I can say it’s predominantly Canada now.
Brian McArthur: Okay.  Well that’s what I’m trying to clear up.  So those million that came out it was all Australia cleaned that all out.
Jamie Sokalsky: Pretty much.
Brian McArthur: Just a second question.  Just on page 52 where you do the preliminary allocation of the purchase price there’s a transaction cost in there of $25 million and yet we keep talking about $100 million?  That $25 million is that the $25 million that Placer’s already paid that’s just getting allocated and there’s another $100 million from the Barrick side, or is that $25 million in the $100 million?
Gregory Wilkins: That $25 million would be in the $100 million, that’s fees that Barrick is paying.  The $100 million would include that plus severance you know office closures a lot of other costs are related to the deal.
Brian McArthur: That helped generate the $200 million in synergies?
Gregory Wilkins: Yes.  That’s right.
Brian McArthur: And just one final question.  Just conceptually here.  If we’re trying look you know and I think you’ve given a lot of the answer here, the fact that Cortez’s production is down 60% year over year would be my calculations give or take 300,000 ounces (inaudible) down, whatever else.  If we look at Placer’s production roughly of 3.6 million ounces last year you know you’re selling call it 650 to Gold Corp., down at Cortez, call it another 100 odds and sods otherwise, that’s basically your you know you’ve got 1.1 million so you’re sort of adding 2.4 million ounces of Placer to the 6.4 that you’ve historically guided for Barrick, and that’s maybe down marginally for Eskay and things you’ve talked about, and that’s kind of how you’re kind of coming up with the 8.8, is that kind of the way I should think about it? Gregory Wilkins Yeah, broadly.  I think you know there are a few other factors there Brian, but you’re certainly on the right track.
Brian McArthur: Great, thank you very much.
Gregory Wilkins: Thank you for your participation this morning.  Thank you for the questions and hopefully, we have been able to provide you know some good information and you know we look forward to continuing to work on the program that we have in place and we will be working very diligently to try and firm up and tighten up some of the outlook as we get to know the Placer a little better in the coming months.  Thanks for joining us and thanks for your continued support.
Operator: Ladies and gentlemen, this concludes the conference call for today.  We thank you for your participation and we ask that you please disconnect your lines.  Thank you and have a wonderful day.
